Operator: Greetings and welcome to the Euronet Worldwide third quarter 2008 earnings conference call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. (Operator instructions) As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, Mr. Jeff Newman, Executive Vice President and General Counsel for Euronet Worldwide. Thank you. Mr. Newman, you may begin.
Jeffrey B. Newman: Thank you. Good morning and welcome everyone to Euronet Worldwide's quarterly results conference call. We will present our results for the third quarter 2008 on this call. We have Mike Brown , our CEO; Kevin Caponecchi, our President; and Rick Weller, our CFO, with us today. Before we begin, I need to make a disclaimer concerning forward looking statements. During this conference call, representatives of Euronet Worldwide will make statements concerning the company's or management's intention, expectations, or predictions for future performance including selected financial guidance concerning the company's results. These statements are forward looking statements. Euronet's actual results may vary materially from those predicted or anticipated in such forward-looking statements as a result of a number of factors, including competition, technological development affecting the market for the company's products and services, foreign exchange fluctuations, and changes in laws and regulations affecting Euronet's business. Additional explanation of these factors and other factors affecting the company's results are set forth from time to time in Euronet's periodic reports filed with the U.S. Securities and Exchange Commission, including but not limited to its Form 10-K for the period ended December 31, 2007 and our 10-Q for the period ending June 30, 2008. Copies of those filings and our other public filings with the SEC may be obtained by contacting the company or the SEC. Euronet does not intend to update these forward looking statements and undertakes no duty to any person to provide any such update. Now, I will turn over the call over to Rick L. Weller , our CFO.
Rick L. Weller : Jeff, thank you and welcome everyone. For the third quarter 2008, the company recorded 280.7 million operating income of 18.8 million adjusted EBITDA of 35.3 million and cash earnings per share from continuing operations of $0.30. As you may have read in our October 17 press release we revised our third quarter expectations from $0.33 to $0.30 given the economic pressures were seeing on transfers to Mexico and foreign currencies. Together with increased tax expense resulting from profit shift in country mix. For your information a little more than a third of the change was from currency translation, while tax and transfers to Mexico pretty much split the difference. Let’s move to slide number 6 and we’ll continue. Here in slide number 6, you can see the last two years revenue of the third quarter and how the yearly improvement trend continues. Let’s move to slide number 7. Year-over-year transaction grew in all three segments with strong transaction growth coming from Australia and Germany in our prepaid segment and from India and China in the EFT segment. On the next slide, you can see in the third quarter our many transfer transaction grew 8% year-over-year. You can also see in this chart how the business continues to grow through transfer sent to countries other than Mexico. While pressures in Mexico persist, the non-U.S. business continues to experience significant growth rates, 34% this quarter. Net net, year-over-year, we have seen good fundamental transaction growth in all of our business segments. Let’s turn to slide 9. Slide 9 includes the review of our segment third quarter result compared to last year. The EFT segment revenues grew year-over-year by 25%. Operating income declined by 1.1 million or 12%. Consistent with what we communicated in the first and second quarters, the development of our cross-border product is requiring a substantial level of effort that we did not incur in the third quarter of last year. To help better understand the fundamental state of the business without the cross-border cost, we provided a ProForma view of the EFT business. Accordingly, you can see that excluding the cross-border cost, operating income would have improved 15%. In the prepaid segment we grew our revenues year-over-year by 15% an off-income increase by 21%. The revenue improvements came largely in Australia, Germany, Poland, and the U.S. And our operating margin expansion was as attributable to the favorable leveraging of extent as we brought on incremental transactions. This was the second sequential quarter our prepaid group delivered expanded margins, a good job. Our money transfer segment grew quarterly revenues year-over-year by 11%. As I mentioned earlier, transfers to Mexico continued to pressure our money transfer result. Transfers to Mexico declined year-over-year by 10%. However, in the third quarter we continue to see the benefits of expanding outside the United States delivering again 34% year-over-year growth. While we could do little to change the fundamental economic drivers behind the Mexico volume pressures, our money transfer team did an excellent job in managing pricing and margins. Their efforts are clearly demonstrated in our 19% growth in gross profits. On a year-over-year basis, operating income came in at 3.1 million compared to 3.4 million last year. This decline in operating income was related to the increased cost we directed towards expanding outside the U.S. Those expansion cost are doing exactly what we expected them to do and can be seen in the growth rate of the non-U.S. transfers. Overall, the money transfer business did a pretty decent job battling the headwinds of a tightening U.S. economy. And the money transfer team is not satisfied with just the improvements in gross margin. They are as well focus on some of the U.S. cost structures. Mike will talk about that more with you just later. Finally, corporate and other expenses decreased by about $400,000 largely due to the lower FAS 123R stock based count expense. Again, Mike will make additional comments regarding all segments in a few minutes. On slide 10, you can see some observations regarding foreign exchange. As many of you know, most of our revenue is non-U.S. dollar denominated, roughly 75%. Of that 75% revenue, most of it comes from a basket of currencies specifically the Euro, British pound, Polish zloty and Australian dollar. As you know, these currencies have weakened against the U.S. dollar. For example on June 30, 2008 the U.S. dollar to the Euro was 1.57 and the Australian dollar was 0.96 to the U.S. dollar. Just yesterday, the exchange rates for the Euro were 1.25 and the Australian dollar 0.61. A 20% and 36% decline respectively. I could give you other examples but I think you get the point. Many of you follow the exchange rate and you know that we started to see slippage in August. But that was in or around the 5% range and it remained fairly stable through the end of the quarter then. Then from the end of that quarter through yesterday, the rate of decline really accelerated. To help gauge the impact of currencies, if we see a weakness of approximately 5% across the basket of currencies where we operate, our quarterly cash EPS will be impacted by about a penny a share. You can largely see that in the third quarter results versus expectations. Keep in mind that this is an extremely simple view and there are a lot of moving parts in the actual detailed map. I do want to help make some sense out of this for you, but at the same time I don’t want to mislead and I emphasize that the devil really is in the detail of the rates, the mix, and the timing. But I hope this helps to somewhat gain an understanding of the impact. Let’s move on to a few comments about the balance sheet. Since last quarter our big changes came in the form of debt reduction. As you know from our press release a couple of weeks back, we purchased $55 million of our one in five-eighths (ph 00:12:01) convertible bonds. These bonds have a common stock exchange rate of 33.63 per share and have a first call, first foot date of December ’09. Given the recent market turmoil, we found that our bonds were trading at a discount to par. After considering the very attractive yield to maturity and knowing the likelihood of the bonds being put to us in 14 months, we agreed to re-purchase the $55 million par at a discount of almost 10%. This re-purchase also helps us demonstrate to our lenders and our shareholders that we have the ability and liquidity to meet a put in December of 2009. If we move to slide 12, I finish my comments with a few other quick observations regarding liquidity. We have a strong cash position of a $174 million. We have a risk of our strategy with regards to our cash and we don’t speculate or take hedge positions beyond a few days required to collect from our non-U.S. money transfer agents. Beyond our cash position, we have approximately $60 million available under our line of credit. We have minimum debt principal payment requirement of 2.4 million along with lease payment of approximately 6 million between now and December of 2009 when the remaining 85 million in one-in-five eight (ph 00:13:41) convertible bond could be put to us. Finally, even with the decline in foreign currency exchange rates, we will generate about 50 million a year in free cash flows or roughly another 65 million of free cash between now and December of ’09. We believe that this strong cash and liquidity position will serve us well as we go through this difficult economic and capital market time. Now to Mike, next slide please.
Michael J. Brown : Thank you Rick. Let’s move on to discuss the EFT processing segment, please jump to slide number 15. Slide 15 is a snapshot of our EFT financial results for the third quarter 2008. Our revenue’s strong again, increasing by 25%, operating income and adjusted EBITDA decreased by 12% and 1% respectively. As Rick discussed a few slides ago is able to see what’s happening with our EFT business by excluding our operating cost in the cross-border product. Excluding this losses, the EFT segment third quarter 2008 operating income and adjusted EBITDA, will have improved by 15% and 16% respectively over prior year result clearly illustrating growth from the rest of the EFT business. We’ll no longer highlight the impact of the expired U.K. ATM contract in our EFT financial results. Moving on to slide number 16. Transactions on our ATM and POS network increased by 8% sequentially over prior quarter point to the continued growth in ATM use and electronic cards payment use in emerging markets. In addition, we continue to expand our network of outsource and managed ATM. We signed Alior Bank in Poland, provide ATM deployment and outsourcing services for 200 new ATMs and Getin Bank in Poland to provide outsourcing and network participation services for their existing network from 56 ATMs and for 50 new ones. We secured an ATM and card outsourcing agreement for LHB Bank in Serbia. LHB Bank merged with our existing customer, Continental Bank in Serbia, further strengthening our relationship with the (inaudible 00:16:08). Moving now please to slide number 17 for an update on our OMV cross-border agreement. Today we are successfully migrated OMVs petrol station in five countries to our separate compliance to cross-border processing platforms. You’ve seen a steady increase in transactions processed on our platform from existing live countries as we prepare to migrate the remaining contract to country. We signed and went live with 340 ATMs of Kotak Bank on our Cashnet network, the largest shared ATM network in India. Transaction processed on Cashnet continued to grow at a very impressive rate, increasing approximately 150% year-over-year. How we are working in a dynamic and competitive environment after having travelled to Europe last week, I know that the banks are being forced to look for improvement in cost and return on capital. It appears as this environment has gone tougher; it has gone tougher on the banks, but it certainly to our advantage. This has and will open doors previously closed outsourcing. While we must be cautious during this unprecedented time, I believe we will find opportunities where they previously did not exist. How we will work with each of our customers to expand and extend our business and that’s what we’re doing right now. Move on please to slide number 19. We continue to see strong operating in financial performance to our prepaid segment. Our third quarter 2008 prepaid revenues increased by 15% over the same quarter of last year. Our operating income and adjusted EBITDA increased by 21% and 15% respectively for the same period. Nice leverage there. Similar to last quarter, our prepaid segment bottom line performance outpaced impressive revenue growth. Australia was a big contributor to this growth. As many of you know our competitor in Australia is now under the pressure of its debt obligation, inefficient organizational structure, and irrationally competitive offers to win accounts from us in the marketplace. Our team there was able to meet customer needs and keep the top up’s flowing to the mobile operators after this demise of our competitor. Moreover, our team is focused on cost containment and operating discipline throughout all of our prepaid markets. Moving on to a few business highlights in slide number 20 for prepaid. Once again despite the economic challenges, consumers and third mobile operators face today, we continue to see a positive consumer respond for new prepaid products and mobile air-time usage. Year-over-year transaction growth increased 11% while sequential transaction growth over the prior quarter in the prepaid segment increased by 6%. In the third quarter we leverage our presence in Greece with our EFT operations and launched prepaid operations by signing all three mobile operators in the country and sign our first retailer to offer top of the 300 stores. Currently, there are about 10 million prepaid subscribers in Greece of which surprisingly 10% top-up their electronic distribution. In Australia, we signed and rolled-out 840 stores for the Cole’s group, one of Australia’s largest retailers and 800 more stores for the United Convenience Buyers, a leading independent fuel retailer. In the U.S. we rolled-out prepaid in 3000 Radio Shack corporate stores. Moving on to slide number 21. We signed other major retailers. In UniEuro and Dimar in Italy for a combined total of 200 stores and Crazy Johns in Australia for 110 stores. Additionally, we expanded our independent retail channel by signing an approximately 7400 stores in Australia last quarter and 2000 stores in Italy. We continue to expand our product’s mix beyond mobile top-up on our network terminals. We are pleased to announce that transports for London has awarded our e-pay DK subsidiary, a five-year contract to offer London congest and charge payment on our extensive network of e-pay terminals both in London and nationwide beginning October of next year. We also launched gift card product in Italy and Australia, calling card product in Italy and International wireless top-up and bill payment products in the U.S. Overall a great quarter, a lot of work in most all our countries, congratulations to our prepaid team. We now move on to our money transfer discussions on slide number 23. The money transfer segment reported revenues of almost $60 million dollars operating income of $3.1 million and adjusted EBITDA of 7.9 million. Moving to slide number 24, you can see that sequential transaction growth in the money transfer business was flat reflecting the higher seasonal trend in the second quarter driven by Mother’s Day in May. The Mother’s Day week is our strongest week of the year. On a year-over-year basis our total transfers increased by 8%. The 8% increase in total transfer was driven by a 34% increase in non-U.S. originated transfers. The weak U.S. economy continued to impact our U.S. originated transfers in the third quarter, which declined 1% year-over-year. In particular, we continue to base pressure on our U.S. originated money transfers to Mexico resulting a 10% decline in transfers to Mexico year-over-year. Total revenues increased by 11% year-over-year, slightly higher than transaction growth. Here again, the 42% increased the non-U.S. revenues contributed to the segment revenue growth. While we can’t do much right now about the U.S. economic situation and its impact, we have tried to manage our margins. As Rick mentioned, our gross profit increased 19% year-over-year, had a fat rates in revenue. And this improvement was a result of not engaging in rational pricing wars to drive volume growth, by focusing on improving our cost structure, by maintaining customer season foreign exchange credits and focusing on increasing our volumes in core doors with wider margins. Next slide please. We also took action to reduce our cost in the money transfer segment. We focus on consolidating certain operating functions to support both our prepaid and money transfer segment. Specifically in Spain we consolidated our money transfer and prepaid call centers. We migrated our U.S. money transfer call center facility to El Salvador and this call center now supports our U.S. prepaid operations as well. In addition, we reduced our U.S. operating expenses in light of the current economic situation, which will result in approximately $3 million plus in savings next year. In the third quarter, we expanded our correspondent network by launching approximately 1500 pay-out locations from our contracted backlog. And we also signed about 15,700 new locations with pay-outs to India, Indonesia and other countries. Now on to a few summary comment on the quarter and then we’ll take questions. In summary, you can see that we posted cash earnings per share of $0.30 in the third quarter of 2008 from continuing operations. We saw continued growth and momentum in our key prepaid market or we face competition in this markets, the strength of our balance sheets and the quality of our product offering are proven to be clear differentiators from the competition. The Australian market success is a key example. Our non-U.S. originated money transfers continue to grow at a very nice pace. We believe our diversity across products in countries has enabled Euronet to emerge a stronger company, better suited to whether economic downturns such as the current one. And we are well positioned for the eventual upturn. We have a strong liquidity position and we continue to reduce our debts. On October 17th, 2008, we revised our fourth quarter 2008 adjusted cash earnings per share outlook to $0.33 per share, primarily due to the weakening on some of our operating currency to the dollar. As Rick already mentioned, since then, just for the last couple of weeks, we have seen a lot of volatility in currencies that has resulted in an additional 10% to 13% decline in a number of our T-currencies against the U.S. dollar. Consequently, we now expect our fourth quarter 2008 adjusted cash earnings per share from continuing operations to be approximately $0.31 assuming currencies remain stable through the end of the year. And here’s just kind of a quick look back, as I’ve looked back to June, absent these dramatic foreign exchange changes, we would have operationally met the projections that we had internally and the projections that we used to derive our guidance for the street and the market. We would have met the last half of the year projections. This concludes our presentation portion of the call. We’ll be glad to answer questions, operator will you please assist.
Operator: Thank you. (Operations instructions) Our first question will be coming from the line Anurag Rana of KeyBanc. Please go ahead with your question.
Anurag Rana – KeyBanc Capital Markets: Good morning gentlemen. Just want to get an idea about the increased expenses in the EFT division. Do you have any time line as to when we should stop these about $2-1/2 million four quarter drop that we saw in the current quarter related to the cross-border initiative?
Michael J. Brown : Excuse me, I’m sorry I pushed the wrong button. With respect to our investment, our investments in Q3 over Q2 really, there was no increase. We have a large endeavor with our cross-border product in that and we have been talking about that all year. So, if as an increase over prior year because last year we hadn’t round up, we didn’t have the by-country slides that we have now. We didn’t have all the infrastructure in place. So, from a year-on-year perspective, there’s an increase, but from a quarter’s sequential perspective it is not. We would expect probably that this will continue to wrap next year as we continue to ramp up new countries. Also, Kevin might have a couple of other extra comment.
Kevin J. Caponecchi: Yes, so the cross-border program will grow with only to the end of next year. Expenses would come down slightly next year although there’s still a space that we can spend through all of next year. And then it’ll end in the fourth quarter of next year.
Anurag Rana – KeyBanc Capital Markets: But, I think a lot of question is going to do with the real help next year?
Kevin J. Caponecchi: No, absolutely we’ll not go up next year or next quarter. It will be flat. Fourth quarter will be flat to current and then it will start to ramp down slightly through to next year.
Anurag Rana – KeyBanc Capital Markets: Thanks and are they any investments lined up in distribution that might actually have an impact on operating margins, either they’re positive or negative?
Kevin J. Caponecchi: Not this time.
Anurag Rana – KeyBanc Capital Markets: Okay. Thank you and any other call on role on money transfers, you know, any other positive role over there that we can expect margins to go back in that area as well?
Michael J. Brown : Well, I mentioned on how we weren’t just sitting around watching the next again traffic, you know dry up on us. We, over the last quarter have initiated a number of cost containment measures, which will start to bear fruit towards the last month of this quarter and all through next year. We have eliminated in excess of $3 million in expense in the money transfer division primarily the U.S. one where we have our weakness in numbers of transactions and growth rate. We have not curtailed our investment in Europe and Australia for the simple reason that Europe and Australia are growing like banshees. You know, you just can’t go along and keep you saying with expense lying on, you’ve got to drop in transactions like we have over the last like year and a half, so we’re able to make adjustments.
Kevin J. Caponecchi: I just add to that a little bit, as we said our team has done a very nice job on managing mixed transactions where we have higher margins and you know, it spreads on the FX and they’ve continued to do that and so, that should help us in addition to just the cost containment.
Anurag Rana – KeyBanc Capital Markets: Thank you.
Operator: Thank you. Our next question is coming from the line of Robert Dodd of Morgan Keegan. Please proceed with your question.
Robert Dodd - Morgan Keegan & Co.: Hi guys, one of the currency and guidance and then I get on to other issues. Looking at key point, now you not giving revenue guidance, but to just give a rough idea, given the headwind Q3 to Q4, I think we all are aware, I mean, are we looking essentially flat revenues year-over-year for Q4? Is that in the ballpark?
Kevin J. Caponecchi: Let’s say, Robert it hit, I’ve got to go back and recall. I don’t happen to have my forecast right here in front of me, but on a year-over-year basis, we’ve seen the currencies come down by probably 20% to 25% . On the positive note, we’ve seen our revenues on a year-over-year base, if we just take a look at the third quarter grow, by 25% in T-segments by 15+% in prepaid and by a good double digit money transfers. I think it would be probably a little bit full, you know little bit more, little bit of gross on year-over-year basis, but not much as because of the exchange factor.
Robert Dodd - Morgan Keegan & Co.: Right, got it. Couple of questions about pipeline now, on the prepaid side, all we see the London congestion charge payment, I know you do some other products in U.K. like iTunes, and things like that, but this seems to be a fairly highly visible product. You know, can you give us a little bit more detail about what’s the pipeline is for other norm, you know mobile products, pop-up products you got there?
Michael J. Brown : We have a number of products that we’re planning. I kind of, would prefer not to tell you what’s they all are, not that I don’t love you Robert, but our competitive situation is aware that we launch new products is quicker than our competition. The London congestion charge was a tender bid, that was actually stolen from a competitor, because basically we’re the best guys for that job.
Kevin J. Caponecchi: Bob, this is Kevin. And what you’re seeing is a major shift in the terms of the way we think about our prepaid business. We’re really trying to transform it from being a predominant prepaid mobile airtime, pop-up business to really a payment’s business where we conduct all sorts of different transaction on those terminals. So, over the next several quarters, you’re going to see us hopefully announcing more and more deals like the one that you’re seeing today where we’re providing other services on those terminals.
Michael J. Brown : And that London congestion charges probably the most high-profile non-prepaid sale or deal you could get in the U.K.
Robert Dodd - Morgan Keegan & Co.: Other than competitor, nobody is driving in defense on London at the moment cause its close, better than that. On to EFT, on the OMV side, always tell me, the major motivation for OMV was tape and money on interchange or acquires or whatever we want to call it. Given the pressures that retail is looking to replace in some intensity. I know you had a pipeline, I know you had discussions with other retailers, but are you seeing a meaningful change or increase in interest from some of the retailers over Europe?
Michael J. Brown : I just had a meeting with the head of the business segment who runs the OMV deal or project on the other side. He has become a very happy man here lately. We are late with our delivery about six months, but the numbers of transactions that he sees across the terminals are higher than were in his original expectations. His happy with our performance, he says that he is getting a number of inquiries from large companies as are we. We’ve told our people, deliver these, deliver OMV first. Let’ make sure we’ve got our five, six, seven countries under the belt and we’re doing everything right. Before we start focusing a lot of effort on the next one because I want to make sure that we had – and I told this guy, I said, I want to make sure that we have a glowing recommendation from you. And so I would say that the market for this is still there, the economics that drive each of these retailers are obvious. I mean, each is going to save about 1% of revenue on each of these card based transactions. I mean, that’s an enormous when you look at the margins of a petrol chain. And so the economics are there to drive them. What we need to do is finish his rollout or at least get a little bit further down with his rollout and then he will – he promised to recommend and we go chase the some more deals. But I would imagine those deals we’re going to start chasing in earnest right after the first of the year.
Kevin J. Caponecchi: With respect to OMV, is a lot of the heavy lifting with respect to developing the solution is now complete. We’re now in the rollout stage. We’ve completed five countries. By the end of next year, we’ll be at 12.
Robert Dodd - Morgan Keegan & Co.: Thank you.
Operator: Thank you. Our next question will be coming from the line of Franco Turrinelli with William Blair. Please go ahead with your question.
Franco Turrinelli – William Blair & Company, L.L.C. & Company, L.L.C.: Good morning guys.
Michael J. Brown : Well, good morning.
Franco Turrinelli – William Blair & Company, L.L.C.: Lots of questions if I may. I’ll get for a couple and then maybe get back into queue. So this one’s really for Rick. Thanks for the help on currency. Rick, the one thing that I really still am having a hard time, you know, modeling or thinking through is the currency exposure of expenses and I guess maybe it would be helpful to us if you could remind us where your major expense categories are located and how things have been moving from an expense point of view on the currency.
Rick L. Weller : Yes. Well, Franco, it’s probably a little bit simpler for us than maybe others because we are pretty much matched up in terms of our expenses to our revenue production. So in each of our respective countries, whether they be currencies – related to currencies that are the pound or the Aussie dollar or the euro, those expenses are matched up in the revenue streams there. So there really are only two countries where I would tell you we have a bit of a disproportionate amount of expenses versus revenue and that would be in Hungary where we have our processing center and clearly when we have a – in Hungary, we would be a net expense generator, so, you know, when we have the Hungarian forint weaken to the dollar, that, you know, flow-throughs and helps us on our, you know, the numbers. And then in the United States where we have our corporate expense, the corporate and our interest expense, and not even all of our interest expense, I’d say about, oh, you know, 70% of whatever is kind of – is in that U.S. and you know what that is on the convertible bonds, et cetera. But it’s the interest expense in the corporate overhead that’s in the U.S. that’s not necessarily matched up to those same revenue streams. Other than that, all of our expenses are directly matched to the currency in the country that they’re generated in.
Franco Turrinelli – William Blair & Company, L.L.C.: Is the U.K. pound a little heavy because of the – don’t you do Australia out of the U.K. for prepaid and stuff?
Rick L. Weller : It is a little bit, but we’re talking about customer service type of people, so you know on an effective head count basis, it might be 25 or 30 head count and it’s also, you know, what we do there is we manage that around the clock because of time zone differences but it’s not a very big amount of difference assessed in the U.K. versus Australia.
Franco Turrinelli – William Blair & Company, L.L.C.: Okay. Thank you. That’s very helpful.
Rick L. Weller : Okay.
Franco Turrinelli – William Blair & Company, L.L.C.: Maybe go back to Kevin for this one. Kevin, I’m still not exactly sure that I understand your answer on the EFT expenses related to OMV. So should we think of this as a infrastructure increase in expenses sort of permanent but will ultimately get leveraged by revenue or is this really sort of an implementation and deployment expense which ultimately will actually go away and so expenses will actually go down?
Kevin J. Caponecchi: Yes. I’m sorry. It’s a ladder. So the additional expense, there will be an additional expense in the business on an ongoing basis. It’s not worth modeling. The rise in expenses associated with the implementation or the heaviest component of that cost is in 2008. What I was trying to say is it’ll extend also into 2009 at a slightly lower rate than the current rate and then it’ll go away unless we win another project at the end of 2009.
Franco Turrinelli – William Blair & Company, L.L.C.: Okay. Well, hopefully, then the expenses will prove permanent. Exactly.
Kevin J. Caponecchi: That’s right. So the expense will drop off the end of 2009. I said in some previous calls that we’re modeling at about an 85% reusability. So if we do a second project, the goal would be that that second project would be obviously a fracture of the implementation costs of the first one.
Franco Turrinelli – William Blair & Company, L.L.C.: Right. I have one more and I’ll get back into queue to let other people jump in. Mike, this one’s for you, I think. It just seems like there was a tremendous pickup in activity in prepaid. Is this really an end-market development or is this just really a more focused and more execution on your end?
Michael J. Brown : Well, I mean, the thing is pick up and – do you mean with respect to just our numbers for Q3?
Franco Turrinelli – William Blair & Company, L.L.C.: No, I mean just in terms of, you know, new – I mean, you know, new markets, new customers or –
Michael J. Brown : No, I’ll tell you. Since the very beginning of this year, Kevin has focused his prepaid division on new products and basically changing this division you might say from a “prepaid division” to a “payments division.” And so because of this focus on new products and new ways to make money across the same infrastructure, there’s a lot of action going on in virtually every single country, and you’re right to discern that. And I think – but then you couple that with the fact that, you know, we – we saw an operational benefit of the fact that in Australia, you know, we watched Bill Express go belly up. So we were able to suck in most all of their business across less terminals than they even did it across or more cost effective than they are and we own a large segment of that business. Now that market just like every other market we’re going to continue to put out new products. So you are kind of right. We’re focusing on both sides of that coin because long-term, you’re not going to get a Bill Express going belly up every day. And so long term we have to succeed by adding additional products and wouldn’t it be nice if prepaid cellular is only half of our total revenue? You know, that would be – that would be a goal for many years out but that would just be wonderful.
Franco Turrinelli – William Blair & Company, L.L.C.: That would be nice. Let me –
Michael J. Brown : And what that implies is basically almost 100% growth rate and new products – you know, and new products for now.
Rick L. Weller : The margin on any incremental product we put on that network is very, very lucrative, obviously because the cost – the cost of that terminal is paid for by the cellular mobile top-up
Franco Turrinelli – William Blair & Company, L.L.C.: Yep, absolutely. Let me let other guests – other people jump in and I’ll come back with some more. Thanks.
Michael J. Brown : Thank you.
Operator: Thank you. Our next question is from the line of David Parker of Merrill Lynch. Please proceed with your question.
David Parker – Merrill Lynch: Good morning everyone.
Rick L. Weller : Good morning, David.
David Parker – Merrill Lynch: Just to clarify, your assumptions for the foreign exchange is that things do not change and you haven’t taken any cushion. So if we continue to see the dollar strengthen, for example, at 125 U.S. dollar to euro goes down another 5%, then we’re going to have to readjust our estimates again, right?
Michael J. Brown : Absolutely, David. You know, much like as it has been proven here in the last few weeks, I don’t think that we have a great ability to try to forecast what that FX is, and so we don’t try to outguess it. Now, it is important though that you keep an eye on more than just one currency, you know, that’s why I point out that, you know, that these four certainly play a big part, that we play a big part of, of our business. And so while I can’t outguess what I think’s going to happen with currency in the future, I guess I could guess what it’s going to be. I probably would only be wrong, but we nevertheless we do know what we know today and on that basis we thought it appropriate to go ahead and give you better clarity in terms of what our earnings numbers would be.
Kevin J. Caponecchi: And there that’s not inconsistent with every single projection that we’ve given you on a quarterly number for the last, you know, six years, and we make the – we basically do that projection based upon current FX rates.
David Parker – Merrill Lynch: Okay. And have you ever considered hedging your exposure to —
Michael J. Brown : Oh, absolutely. We have. We actually had a little bit of an assorted history with that briefly six or eight year ago, but the reality is the cost of hedging the volume of revenues that we have right now, far exceeds the amount of positive. Now, we have — when you look at a typical year for us, we might see currency move a total of 5 or 6% in a year. We've never ever, and people will tell you this — I mean, nobody's seen the drops that we've seen or the strength of the market crash that we've watched kind of over the last several weeks.
Rick L. Weller : The other thing, David, again, a bit of a built in hedge on how we manage our business, because generally speaking, we would deploy the excess profits we generate in these countries back into those same theaters. And so if we generate revenues in Euros or profits in Euros, and we acquire businesses and invest in our infrastructure in Euros, then essentially that's self-hedged, and like Mike said, we've just never found it to be particularly helpful to try to buy insurance, if you will, on profit generation for the future because we don't necessarily know where that profit would get deployed. So, if I knew that, for example, I'm using it to pay for airline fuel or something like that, then I could have a little better view of how I would want to hedge that. But instead if we would have generated excess profits and then we use it to let's say acquire something or invest in ATMs that are in euro type of currencies, we would then just have actually defeated the whole purpose of the hedge. So it gets to be a little difficult to guess what might happen there.
David Parker – Merrill Lynch: Okay. Thank you for that. And just moving to the EST business, looking at your pro forma results that you provided (inaudible 00:47:27) the cross-border investments, it looks like the EBITDA margins still decreased on a year over year basis by about 200 basis points. Is that from additional investments? Is it from the loss of the U.K. contract? I was always under the assumption that this was a scalable business and that we were going to see improving margins as you got more transactions.
Rick L. Weller : David, it was absolutely the U.K. matter as you pointed out, and to our credit, if we were to put that one back in there, we would have seen even more expansion in the income line. Like Mike said, we just chose to stop whining about that when we took it out of it. We took it out of the discussion this time, but the U.K. agreement more than made up for that and we're in fact, back on track as that number grows.
David Parker – Merrill Lynch: Okay. And then just as this global slowdown spreads and we start to see some economic problems in some of these eastern European countries, as conditions continue or start to deteriorate in those countries, is there any risk to you guys if one of these eastern European countries goes bankrupt or defaults on their debt?
Michael J. Brown : Well, I think we'd have to know the exact circumstance, but the nice thing is, each of these banks within these countries, almost every one of them are owned by large western banks somewhere, and the banks themselves, as it turns out, I just made a trip last week, I was in Romania, Serbia, Ukraine, Poland. Each of the banks in these countries, and they're pretty central-eastern European kinds of countries, they are financially in pretty darn good shape, actually in better shape than their parents in most cases. And so, what you might see is that there is some challenge within the country itself if the IMF or somebody doesn't come into help them, these banks will still continue to operate. They're still generating profits in their own currencies, and it does offer opportunities for us. I'll tell you this; I mentioned it in my kind of prepared comments, but without an exception, as I was talking to a number of CEOs last week, I probably talked to 10 of them, every single one of them said that the mother ship back in the west who owns them, whether it be a bank in Germany or Austria or Italy or wherever it might be, these guys have domestic challenges with their big banks in their original locale. So, they don't have the capital to deploy — to help out or to help the expansion of their satellite countries, and so this offers to us an excellent opportunity. Cost cutting is on people's minds like it hasn't been in three or four or five years; I love that. We can save these banks money, but don't forget, (inaudible 00:50:31) deals there are very lucrative as Rick pointed out. You lose one, it hurts you, but you get one and it really helps you. These are long close cycles, they're unpopular within the banks to get one of these closed, but the nice thing is cost cutting and financial prudence is driving more opportunities our way.
Rick L. Weller : And, David, I would follow with just two observations principally as it relates to the balance sheet and then to their customers. One is we don't carry any significant assets on our balance sheet in terms of receivables and stuff like that, so we shouldn't have any kind of a haircut like that. And again, it's as Mike said, each circumstance you'd have to evaluate it and understand that, but in all of these countries, remember that the ATM penetrations are at very substandard levels, and if a bank were to go down, the customers still have money in there and the customers still want to get it out, and so the likelihood of shutting down the ATM network is probably not real high. They'd probably continue to keep that network functioning, and then if the bank were such that it had fallen into receivership or something like that, then again there's lots of people looking to pick up the properties in these markets because they're customer networks and banking operations are just not very well established. So, it doesn't really appear to us as if your bank would just really fall off the map. We may have to work through some transition things and stuff like that, but it's a little different story if you were overpopulated. In these markets, these are again very under populated in terms of service on ATMs.
David Parker – Merrill Lynch: Okay. And just my last question is on the prepaid side, as you continue to expand that product suite, is that going to require some incremental investments? And specifically, you've won this London congestion contract, is that going to require some investments before it ramps up late next year?
Rick L. Weller : It will, but not beyond what's currently in the business — not appreciably more than what's in the business today.
Michael J. Brown : I mean, we're always adding these new products, David. So there is an amount on our expense line right now dedicated to R&D and development and roll out of big products, so nothing will change.
David Parker – Merrill Lynch: So you should be able to sustain that 10% —
Michael J. Brown : Yes. This is not like a brand new product endeavor like the OMV thing.
David Parker – Merrill Lynch: Okay.
Michael J. Brown : It's unlike it.
David Parker – Merrill Lynch: Okay. Thank you.
Operator: Thank you, (Operator's Instructions). Our next question is coming from the line of Robert Napoli with Piper Jaffray. Please go ahead with your question.
Robert Napoli - Piper Jaffray & Co.: Thank you and good morning.
Rick L. Weller : Good morning, Bob.
Robert Napoli - Piper Jaffray & Co.: Of the prepaid business, what percentage of that right now is prepaid cell of the revenue —
Michael J. Brown : Probably 90, maybe a little bit more.
Robert Napoli - Piper Jaffray & Co.: Okay. And which products do you feel have the most potential, and in which markets?
Michael J. Brown : Well, I'm not telling you. It isn't that I don't love you —
Robert Napoli - Piper Jaffray & Co.: Okay.
Michael J. Brown : — but that's competitive information and it allows me to whip those boys.
Robert Napoli - Piper Jaffray & Co.: Okay.
Rick L. Weller : But generically, it's iTunes, it's gift cards, it's prepaid —
Michael J. Brown : Yes. It's the same thing that we mentioned before.
Rick L. Weller : — cards, but obviously, Bob, we're targeting those for certain markets based on what we think have got the greatest potential, and obviously we don't want to share that on this call.
Robert Napoli - Piper Jaffray & Co.: Now you guys have been in the prepaid business for quite awhile, and there's been pretty sizable prepaid businesses growing up in your backyard, even in Kansas, but most of your business is in Europe. I do appreciate that you signed up the Radio Shack, but is there a big opportunity for you in the U.S. and why haven't you attacked the U.S. market for prepaid?
Michael J. Brown : You know, we were one of the last entrants into the U.S. market. We actually consolidated our position by buying five little tiny companies and putting all their back offices together and then growing organically. By the time we got here to the U.S., there was already a very strong number one and number two who consequently ended up combining to be an even stronger number one. But we do see a lot of advantages here. We're doing some very interesting cross sell products with RIA, so —
Rick L. Weller : And how we’re positioned with some of the retailers that we're positioned with.
Michael J. Brown : Yes. We're positioned well. We've got a strong balance sheet. We've noticed here in the U.S. that a whole bunch of our competitors have financial difficulties right now and that's wonderful for us because at the end of the day, these mobile operators do want to collect on their receivables.
Rick L. Weller : What continues to excite me is that still, you look at Europe and you look at the prepaid market in Europe, beyond the U.K. which is transitioned to electronic, a lot of Europe is still scratch cards. So, although the market isn't necessarily growing with respect to prepaid, there's still a huge opportunity for us as individual markets transition from scratch or paper to electronic, and that's where we see some of our organic growth with respect to prepaid mobile top up in Europe.
Robert Napoli - Piper Jaffray & Co.: Okay. With regards to the money transfer business in the non-U.S. and non-Mexico portions, what growth trends did you evidence through say in September and seeing this month in October — I mean, Western Union talked about a slowdown, and obviously currency affects them as well as it does you, but what are you seeing outside of the North American market?
Michael J. Brown : Bob, we have understood that there's a slowdown in money transfers out of Spain in particular, a little bit in the U.K., but Spain in particular, because there's a lot of construction going on there. Although the Banco de Spain numbers suggest a flat market there for numbers of transfers. We're up about 25% in our transfers, so we're real happy with our management group there in Spain and in Europe. We're a strong player, have a great reputation, and we continue to expand in other markets there. So, I'd say we haven't really seen much except for Spain, and the nice thing is we've got a real good group of managers overseas and they continue to grow this very quickly in these much more profitable markets.
Robert Napoli - Piper Jaffray & Co.: Okay. A question on foreign exchange, and as we speed up a little bit, but you took a $19 million loss in the income statement. I'm assuming that's related to some sort of hedging, but I don't understand theoretically — and you talked about not doing much hedging, so I don't understand the loss you took through the income statement and it looked like a pretty big unrealized loss in shareholders' equity. If you don't do any hedging, what is running through these?
Rick L. Weller : Bob, most of that number relates to our intercompany loan transactions where we have to obviously account for the translation change. We, as I said, do some hedges, but they're all very short-term hedges. They're only just a few days, to account for the time that it takes from a customer putting money down at a counter and by the time we sweep it in through our banking system, because remember, we will pay that or have that money available for immediate payout upon the customer putting it down on the counter. So those are the only ones we do, and so we don't have losses on those kinds of hedge transactions. So that effective gain or loss is just simply from our balance sheet conversion of intercompany loans. There could be a little bit of other stuff in there on actually executed transactions, on some currency and things like that, but for the most part it's all on the intercompany loans side.
Michael J. Brown : And the only reason you noticed it now, Bob, is the reality of an enormous change in the FX rates where the same intercompany loan, you might say through us that we report every quarter, just hasn't been enough to catch your attention maybe before now.
Rick L. Weller : Right. And that way that works, for example, if we have a loan from parent to sub, let's say euro based loan, well it's going to come back to us in euro. As the dollar strengthens obviously we're going to have a weakness there, a loss. You can see that in periods when the dollar weakens it went the other way, and again, those are intercompany transactions.
Robert Napoli - Piper Jaffray & Co.: Okay. That's very helpful. Just a follow-up question, I know this has been beat to death; the cross border merchant acquiring business and the amount that you're spending. First — I mean, and you must be way above — the spending that you're doing must be a lot more than you thought you were going to do, and I guess since 85% of it is reusable, as you put it, it would seem that it would be much easier to get that second customer which hasn't come through yet, and I don't think that's — that's probably not a viable business on one customer.
Michael J. Brown : Oh, no, no. In fact, from the very beginning, Bob, we said that we needed more than one customer. Our expectation is our current customer will cover about 40% of those costs, and so we basically need another customer and a half to kind of breakeven (inaudible 01:01:03).
Robert Napoli - Piper Jaffray & Co.: And how close are you? What is the pipeline of —
Michael J. Brown : Well, as I mentioned earlier, there's a lot of interest. We're focusing through the end of the year on bringing a couple more countries live. The reality of sales, Bob, is if I don't have an excellent recommendation from OMV, the next probably isn't going to buy from me. And so, I'm doing all I can to meet his expectations to make sure that he is an aggressive supporter for our next deal, and we're doing that through the end of the year, and then we'll start to jump on these opportunities the beginning of the next year.
Rick L. Weller : I think another thing, Bob, we just have to keep in mind is that SEPA isn't a finalized standardized yet in Europe. We've been ahead of the pack in that we had a customer and we had an arrangement with a couple of other parties to be able to pull off, I guess what we would call a SEPA light transaction. We talked before about working with ERSE on this. These guys are a leading player in this SEPA endeavor over there, and so we've got that problem fairly worked out. But nonetheless, a retailer has to be committed to want to do it like OMV was, and it was obviously quite economically beneficial to them, and they saw the opportunity and were willing to be a first mover in that circumstance. It also happened to be that there was a pretty consistent matchup between the countries where they operated in and ERSE, and so we could kind of make it happen before SEPA became a requirement and then all of the details worked out. So, we have to also be a little bit patient in terms of the retailers that come forward and want to do something before this final requirement is nailed down.
Robert Napoli - Piper Jaffray & Co.: Thank you very much.
Michael J. Brown : I think we'll take one last question because we're at the top of the hour, if there is one.
Operator: Yes, sir. Our final question is a follow up from the line of Franco Turrinelli. Please go ahead with your question, sir.
Franco Turrinelli - William Blair: Oh, I'd just love to get some love from you, Mike, because you haven't given me any love.
Michael J. Brown : Leave me alone!
Franco Turrinelli - William Blair: All right. I'll keep this quick. Can you update us on the total number of payout locations that we now have for money transfer?
Michael J. Brown : Yes. We have right now about 73,000, combined. So that's send and receive.
Franco Turrinelli - William Blair: Oh? Send and receive?
Michael J. Brown : Right. Now, we used to do just the receive side, but because our system can't allow you to go both ways, and because that's the way the largest player in the market does it, we decided to just use their nomenclature.
Franco Turrinelli - William Blair: So, Mike, when you tell us on slide 25 that you've added almost 16,000 — sorry, assigned 16,000 new locations, I'm assuming that's not included in that number that you just cited?
Michael J. Brown : That's correct.
Franco Turrinelli - William Blair: And I mean, that's almost —
Michael J. Brown : It's big. And I'll tell you what's really big, and there's a nuance in there, that if we can make these guys productive and make sure we can train them and it all works, which is always a challenge when you add a new one, that's going to bring us India, and we're very excited about that.
Franco Turrinelli - William Blair: These are primarily receive locations I'm assuming?
Michael J. Brown : Yes. I'm sorry. It's almost all receive.
Franco Turrinelli - William Blair: So when you say training, what you're saying is you need to train the people in the send countries, not the people at these receive locations?
Michael J. Brown : No, no. Actually it's the people in the banks that we've signed up on the payout sides to make sure they know how to operate our system to payout when somebody walks in. We don't want a bad experience when somebody walks in asking for money because they've never given out a RIA payout.
Franco Turrinelli - William Blair: Got it, so —
Michael J. Brown : Or they don't know how because then that word of mouth gets around and you don't get that second one.
Rick L. Weller : Yes. Franco, in the Mexican market, that process is very well oiled. The banks are all fairly consistent, standardized, and they know how to do it. Other markets, you don't find the same consistency, and so we want to make sure that our customers have a good experience, because it's very important that the customer, when they put money down at the agent, that they have a high level of confidence that mom or whoever it is, is going to pick up that money, has it, and doesn't have a problem, doesn't get taken through a rat race and all that type of stuff. So that's why Mike says we want to make sure that we are appropriately prepared and that our payout agents in those countries are trained and know how to act efficiently to execute the transaction so that we don't disrupt that customer reaction on the send side.
Michael J. Brown : And as I mentioned, the reason we're excited about India is from the U.K.. I mean, that's really the primary send country.
Kevin J. Caponecchi: We have strong send from the U.K. if we can get the payout.
Michael J. Brown : Right.
Franco Turrinelli - William Blair: And, Mike, I was surprised to hear you mention Australia in your money transfer comment. I guess I wasn't paying attention —
Michael J. Brown : We have a small operation in Australia that's growing. It's been there since we acquired the entity and actually now they're working a little bit more closely too with our large prepaid operation down there so that we can get some economies of scale.
Kevin J. Caponecchi: And a lot of the send from Australia again is to Asia, and as we build up Pac Asia, Australia becomes more and more important.
Michael J. Brown : You know, it's Philippines, Indonesia, the Highlands, etcetera.
Franco Turrinelli - William Blair: Can I sneak one last in? China Post update?
Michael J. Brown : Kevin? Kevin was just there last week.
Kevin J. Caponecchi: Yes. I was just there last week. The freeze through the Olympics is over, they just finished the Paralympics which just finished last month. We're excited. We're going to be rolling out quite a few ATMs here in the fourth quarter. Not all the backlogs but a good chunk of the backlogs, and we're talking about — we had some good discussions with China Postal about further expansion beyond the current backlog. So although we've had sort of a six month hiatus, we're excited about the next quarter and the quarters beyond.
Franco Turrinelli - William Blair: Thank you.
Michael J. Brown : Right. Thank you, Franco, and on behalf of Rick and Kevin, I thank everyone who has listened in the call.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.